Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold First Quarter 2024 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Lynette Gould, Vice President Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. I'd like to welcome you to our first quarter 2024 results conference call. Before we begin, I would like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure on non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, President and Chief Executive Officer; Paul Ferneyhough, Executive Vice President and Chief Financial Officer; Louw Smith, Executive Vice President, Development, Greece; and Simon Hille, Executive Vice President, Technical Services and Operations. Our news release yesterday details our first quarter 2024 financial and operating results. This should be read in conjunction with our first quarter 2024 financial statements and management's discussion and analysis, both of which are available on our website. They have also both been filed on SEDAR+ and EDGAR. All dollar figures discussed today are U.S. dollars, unless otherwise stated. We will be speaking to the slides that accompany this webcast, and you can download a copy of these slides from our website. After the prepared remarks, we will open the call for Q&A. At this time, we will invite analysts to queue for questions. I'm now happy to turn the call over to George.
George Burns: Thanks, Lynette, and good morning, everyone. We are pleased to have Louw Smith, our Executive Vice President, Development, Greece join us on the call with Joe Dick recently retiring from his COO role and moving into a consulting role, Louw will review our Greek assets. Our Board and management team spent this week at our Lamaque Complex in Val-d'Or, Quebec, celebrating its 5th operating anniversary. We acquired Lamaque in 2017, shortly after I joined the company. Within two years, we had announced an initial maiden reserve, refurbished the old Sigma Mill, and began operations on time and on budget. In the first five years, we have produced approximately 850,000 ounces of gold, exceeding the pre-feasibility expectation of 644,000 ounces by 32% with the remaining 877,000 ounces in reserves as of September 30, 2023. With Ormaque expected to announce an initial reserve later this year and a number of exploration targets on our large land package, this operation has exceeded our expectation and it has a bright future ahead of it. Here's the outline for today's call. I will provide a brief overview of the Q1 results and highlights. I'll then pass the call over to Paul to go through our financial results and then on to Louw and Simon to review our operational performance. We will then open the call to questions from our analysts. Turning to Slide 4. The first quarter was consistent with guidance, delivering safe production of 117,111 ounces of gold. Historically, production is lower in the first quarter of the year as winter conditions at Kisladag slowed down leach kinetics. This is combined with expected ore grade variability across the operations. Looking ahead, we continue to expect increased production in the second quarter and a stronger second half of the year remaining on track with our guidance to produce between 505,000 and 555,000 ounces of gold for 2024. Total cash cost and all-in sustaining cost were $922 per ounce sold and $1,262 per ounce sold respectively. Cost increased as a result of higher royalties, labor cost, and consumables with the higher gold prices royalty cost increased in Greece and Turkiye as royalty structures calculated are on a sliding scale linked to the gold price. Detailed royalty tables are available in our recently filed technical reports for Olympias and Efemcukuru. While we see higher cost this quarter, they are in line with our 2024 guidance ranges. Paul will touch on the cost in more detail later in the call. Turning to Slide 5. In the first quarter, a lost time frequency rate increased to 1.63 recorded incidents per million person hours worked compared to 0.87 in Q1 2023. Our commitment to a safe workplace is unchanged and recognizes as a continuous journey of improvement, and we expect to return to our trend of improving frequency rates. Our health and safety focus in 2024 is based on preventing high potential incidents and further empowering our employees to promote a positive and healthy safety culture. In sustainability, we were pleased to be the only non-oil sands mining company named as one of the 30 companies in the Globe & Mail’s ‘Road to Net Zero’, recognizing our progress against our corporate climate targets. This was included within the Globe's report on Business Magazine and utilizes research from Sustainalytics. We continue to advance our target to mitigate our greenhouse gas emissions to operational efficiencies and continuous improvement, technologies, processes, energy generation, grid decarbonization, mine planning and operational changes. These actions also deliver operational and safety benefits. In government relations, we were proud to support the strengthening ties between the Canadian and Greek governments and business communities in March, as Prime Minister Kyriakos Mitsotakis became the first sitting Greek Prime Minister to visit Canada since 1983. During his remarks at one of the events, Mr. Mitsotakis spoke enthusiastically to Eldorado Gold's journey in Greece, and the positive impact from investments by the company is a leading Canadian operator in Greece. I'll stop there and turn the call over to Paul for review of our financial results.
Paul Ferneyhough: Thank you, George. Slide 6 provides a summary of our first quarter results. Our operations delivered a steady quarter, as George mentioned, in line with our expectations and aligned with our guidance, which remains unchanged across all operational and financial metrics. Continued high gold prices drove strong financial results for the quarter. Eldorado reported net earnings attributable to shareholders from continuing operations of $35.2 million or $0.17 per share in the first quarter, positively impacted by higher revenue due to volume sold and prices realized compared to the first quarter in 2023. After adjusting for one-time non-recurring items, adjusted net earnings were $55.2 million or $0.27 per share for the quarter. Adjusted net earnings in Q1 2024 accounted for the reversal of three principal items. Firstly, a $5.3 million loss on foreign exchange due to the translation of deferred tax balances net of Turkish inflation accounting. Secondly, a $16.9 million unrealized loss on the mark-to-market of derivative instruments. And finally, a $2.1 million gain on the non-cash revaluation of the embedded derivative related to the redemption option in our senior notes. Our free cash flow in the quarter was negative $30.9 million or positive $33.7 million, excluding capital investment in our Skouries project. Cash flow generated by operating activities before changes in working capital in the quarter was $108.3 million compared to $93.2 million in Q1 2023. As previously noted, the increase principally related to higher sales volumes and realized prices. First quarter total cash costs were $922 per ounce sold and all-in sustaining costs was $1,262 per ounce sold. Our costs increased compared to Q1 2023 as a result of higher labor costs and consumables such as fuel driven by production volumes as well as higher royalty expenses primarily due to higher metal prices. In addition, increased sustaining capital investment contributed to higher ASIC for the quarter compared to the same period in the prior year. Capital expenditures were $122 million in the first quarter, including investment in growth projects at Kisladag focused on waste stripping the North Heap Leach Pad and related infrastructure. At Skouries, we continue to advance major earthworks and infrastructure construction for the project, investing approximately $53 million in the period. Current tax expense of $12.4 million for the first quarter decreased from $20.5 million compared to the same period in 2023, primarily due to a net reduction in Turkish taxes after accounting for increased investment tax credits and inflation accounting adjustments. Deferred income tax expense increased to $3.6 million in Q1 2024 versus a recovery of $7.8 million in Q1 2023. In the quarter, deferred tax included a $19.3 million expense related to the weakening of the lira and the euro against the U.S. dollar, partially offset by a $14 million recovery from the application of Turkish inflation accounting. Turning to Slide 7. Our balance sheet remains well funded to meet our investment requirements. We ended the quarter with total liquidity of $628 million, including $515 million of cash and cash equivalents and $113 million of available capacity on our revolving credit facility. Cash declined over the quarter due to high levels of capital investment. We expect this trend to reverse over the remainder of 2024 as we benefit from strong gold prices and further draw down of project finance funding for the Skouries development. We continue to focus on maintaining a solid financial position that provides flexibility to respond to opportunities and fund our growth strategy to unlock value across our global business. With that, I'll now turn the call over to Louw to go through the Greek asset highlights.
Louw Smith: Thanks, Paul, and good morning. Starting on Slide 8, our Skouries copper gold project. We continue to progress major earthworks and infrastructure construction. Overall project progress is 73% when including the first phase of construction, and we remain on track for the first production in Q3 2025 and commercial production at the end of 2025. Detailed engineering has advanced and is now 67% complete and procurement is substantially completed. Mobilization of contractors and commencement of work on the tailings filtration infrastructure earthworks and pilings started during the quarter where the earthworks expected to be substantially completed in Q2 2024. Additionally, the construction team made positive headway on the crusher building, mill flotation building and underground development. On the critical path is the filter plant building, which continues to advance with the piling work having commenced in Q1 2024. The filter building construction contract is on track to be awarded in Q2 2024, which will include the building structure, assembly of equipment within the building, including air compressors, conveyors, filter pressers, and other ancillary equipment. In addition to the piping and electrical work, filter press plates arrived on site in Q1 2024 and pre-assembly has now commenced with the frames for the supporting the filter press plates already fabricated and expect it to ship in Q2 2024. On this slide, you can see the photo on the right hand side showing one of the 588 filter press plates that will be pre-assembled. We have some more detailed photos to share in the coming slides. Moving on to Slide 9. During the first quarter, the capital spent was $52.5 million. This is in line with our expectations as [indiscernible] expected to ramp up significantly as mobilization and site labor increases. We remain on track to meet our guidance estimate for investment in Skouries in 2024 of between $375 million and $425 million. Work for the mill flotation building is in progress with commissioning work on overhead cranes, installation of construction, lighting and scaffolding, and the commencement of structural steel work. Commissioning of the three overhead cranes are completed and operational. Construction lighting, scaffolding and steel are progressing on plan and mobilization of mechanical, piping and electrical work is in progress. For the underground, we expect to award the second contract in Q2, which includes the test stope work as well as additional development and services work to support the development of the underground mine. We remain on track with expected completion of the IEWMF coffer dam and to have significantly advanced the IEWMF earthworks, water management facilities, process plant and filter plant by the end of 2024. For the next couple of slides, we'll show the advancement of the work underway. Turning to Slide 10, on the left hand side is the primary crusher, excavations, and slope stabilization are progressing in all areas and the excavation and backfill for the conveyor alignment is in progress. On the right hand side is the filter plant area where you can see four drills are working. For the filter plant building, 50% of the total 187 piles are completed. We expect to start installing rebar late this month. The concrete will be completed in two parts with the first part starting in early May. On Slide 11, the picture on the left hand side is where we are excavating topsoil from the base of the low-grade ore stockpile before the full will be brought in. On the picture on the right hand side of the slide, you can see the pad work that has been started. Once the geotechnical and drainage work is done, the open pit and underground workshops, paste plant and warehouse will be built. We will continue to provide progress updates as we advance towards first production in the third quarter of 2025. Moving to Olympias on Slide 12. First quarter gold production was 18,788 ounces and total cash costs were $1,287 per ounce sold. Production was positively impacted by the productivity improvements that have been implemented over the past year. While total cash costs have been impacted by increased labor costs and royalties during the quarter. For 2024, production guidance at Olympias is forecast to be 75,000 to 85,000 ounces of gold. Production in the second quarter is expected to be consistent with the first quarter. Through the year, we expect to see continued improvement as we advance the underground development and increase metal production from the Flats zone. I'll stop there and hand it over to Simon to discuss the Turkish and Canadian operations.
Simon Hille: Thanks, Louw and welcome. Starting in Turkiye on Slide 13. At Kisladag, first quarter production was 37,523 ounces with cash costs of $820 per ounce sold. Production was in line with our expectations and we included a six day planned shutdown for maintenance in the quarter. Total cash costs were impacted by higher fuel prices and increased royalties. For 2024, production guidance at Kisladag is 180,000 to 195,000 ounces of gold. Production is expected to increase over the course of the second quarter as we realize increased stacking rates and normal leach kinetics. Work also continues on optimizing our on-belt agglomeration and materials handling transition points to improve quality and consistency of stacked ore. On Slide 14, at Efemcukuru, first quarter gold production was 18,501 ounces at total cash cost of $1,154 per ounce sold. Gold production, throughput and average gold grade at Efemcukuru were in line with the plan for the quarter. For 2024, production guidance at Efemcukuru is 75,000 to 85,000 ounces of gold. Production in the second quarter is expected to be slightly higher benefiting from higher grade. And now moving to the Lamaque Complex on Slide 15. The Lamaque Complex delivered first quarter production of 42,299 ounces at a total cash cost of $779 per ounce sold. Production was in line with expectations. Total cash costs were impacted by higher royalties. Additionally, higher costs were incurred for labor contractor and equipment rentals to increase productivity with a focus on ramping up development rates during the quarter. We were pleased to take delivery of our second Sandvik electric truck during the first quarter. Our battery electric truck was delivered in Q2 of 2023 and is currently working to specifications. Lamaque was the first to apply this underground technology in Quebec. These trucks had 50 ton capacity and increase ramp speeds and are playing a key role in improving production efficiency, reducing diesel particulate matter, and mitigating our greenhouse gas emissions. During the first quarter, we continue to advance the infill drilling program, targeting the upper two-thirds of the Ormaque deposit and we remain on track to take a bulk sample, complete a pre-feasibility study and announce the Ormaque inaugural reserve by the end of 2024. In 2024, production guidance at Lamaque Complex is 175,000 to 190,000 ounces of gold. Production is expected to increase in the second quarter as we realize higher grades. I'll stop there and turn the call back to George for his closing remarks.
George Burns: Thanks, team. About five years ago, we shifted our philosophy from a focus on multiple jurisdictions to focus on Canada, Greece and Turkiye. And with that focus, we updated a feasibility study on Tocantinzinho and later divested that asset to G Mining. This was done to bring forward returns to our shareholders in a time when our focus was on higher quality assets, i.e. Skouries and Perama Hill. That strategy has been unfolding very well over the last couple of years with the reinvestment in Kisladag and extended mine life, exploration focus on Efemcukuru, extending mine life. Acquisition of Lamaque and increasing production and exploration success and moving to Greece, getting Skouries back into construction and delivering operational improvements on Olympias. We're off to a good start this year, which reflects our ongoing commitment to driving through operational efficiencies at each of our operations. We are in a unique position amongst the mid-cap mining companies with high-quality gold growth production over the next four years. The addition of copper production to our portfolio, a robust balance sheet to fully fund our growth initiatives and a cost profile that is expected to decline. It's a great time to be at Eldorado where we are positioned with higher metal prices along with increasing production and reducing costs, which is a distinct advantage compared to most of our peers. We expect this to continue to deliver significant value for our stakeholders. Thank you for your time. I'll now turn the call over to the operator for questions from our analysts.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Cosmos Chiu of CIBC. Please go ahead.
Cosmos Chiu: Thank you, George, and team for the call and presentation. Maybe my first question is on CapEx at Skouries. As you mentioned, the $52.5 million spent in Q1 was as expected, certainly not 25% of your full-year guidance of $375 million to $425 million. On that, George, I don't know how much you can share with us. What's your expectation in terms of getting your CapEx for Q2, your CapEx spend for Q3 or Q4? Or if that's too much detail, at least maybe could you tell us like what percentage, how is it going to ramp up for the subsequent quarters?
George Burns: Thanks, Cosmos. Yes, I mean the first quarter spending came right in line with our expectations and really what's driving those spending over the year is finalizing some of the major contracts at Skouries. And so I would describe that Q1 and Q2 our focus is in finalizing these last major contracts and we're well on track with that. Q2 and Q3, we will be ramping up the construction activities as we bring these new contractors on the site, and you'll see a lot stronger spend in the second half of the year as a result of these additional workplace and faces to construct work and our new contractors coming on the site. So we're on track to deliver the cost guidance on Skouries construction for the year and well positioned to bring this into commissioning in Q3 of next year.
Cosmos Chiu: Great. And then as you mentioned the contracts that are to be finalized in Q2. I guess I read in the MD&A, one is the second underground contractor. The other one is the filter plant construction contract. Those are two key contracts that need to be finalized in Q2. And George, you and I had talked about this in the past as well, especially during the update to CapEx a few months ago. And you had talked about inflationary pressures. But you had a good idea at that point in time, some of these contracts, what they would cost. Any concerns, is that still the case? Any concerns where we stand right now in terms of inflation or what we're going to see in terms of finalization of these contracts? What you always sort of expected?
George Burns: Yes. I would say we're in a good position. So we're largely procured. We've got certainty around the materials that we need to finish the construction. We've got very good visibility on these last contracts. We're working through finalization with our lenders and on track with finalizing those. As I say, over the second quarter, we're already bringing some of the contractors on the site as we speak. And maybe I'll have Louw give you a little more visibility in terms of what these contracts are about and how the ramp ups unfolding.
Louw Smith: Yes. Thank you, George. Good afternoon, Cosmos. On the filter plant, we currently doing the piling and 30% of the filter plant piling is already complete. We have an opportunity to do the concrete work in two segments. So early in May, we'll ramp up and start the first concrete works at the filter plant. And in months to come, you will have a situation where we are piling, pouring concrete and then also starting to erect the filter plant structures. For the underground mine, we are in the process of mobilizing the Phase 2 underground contractor. They will be planned to be on-site towards the end of May. They will be responsible to continue the development of the underground mine and then also early in 2025 extracted two test stopes that we plan to do. Additionally, they'll extend the services in the mine, water, ventilation, power to set it up for the future production.
George Burns: Maybe one additional point that might help to give you an idea of why the spend is backend load. It's really people on the ground executing the work. So we were about 500 employee, 600 contractors on the ground. We're now at about 700 and we'll be peaking about 1,300 in the second half of the year. So we're in good shape to deliver the guidance for the year and our initial commissioning in Q3 of next year.
Cosmos Chiu: Thanks, George and Louw. And maybe one last follow-up question. As you talked about in the MD&A and Louw in your remarks as well, you talked about the filter plant building being on the critical path. Is that the only item on a critical path in the near-term? Or are there other components that we should be concerned about as well?
George Burns: Yes. I mean, it's the critical path item right now. I mean, there's obviously other work fronts that we need to deliver on schedule. I would say there's nothing worrying us right now. We do have the optionality for extended work hours. Largely, most of the construction is designed at a single shift, but we're working with our contractors on opportunities to get some of the work done on a second shift. So I'd just say we're in a good position to deliver our guidance on both initial commissioning and cost guidance.
Cosmos Chiu: Understood. Thanks George and team. Those are all the questions I have. Have a good weekend.
George Burns: Thanks, Cosmos.
Operator: Our next question comes from Mike Parkin of National Bank. Please go ahead.
Mike Parkin: Hi, guys. Congrats on solid start to the year. Just a question – follow-up on some of the statements on Olympias and Efemcukuru around labor costs. Can you give us a sense of what as a percentage labor costs have increased year-over-year?
George Burns: Well, maybe I'll make some high level comments and Paul can give you a little more detail on it. So I mean, at Olympias, I'd say the bigger focus is on productivities and efficiencies. And last year, we delivered quite a bit of improvement. But this year, we have some additional opportunities. We're in collective bargaining with our union. Our focus is on shift schedules that'll be more productive. We have a number of improvement opportunities this year that will help deliver higher production from the underground and support the expected expansion of Olympias from 490,000 tons to 650,000 tons per annum. And so with those negotiations ending in a positive expected in Q2, Q3, we then focus on long lead items and delivering the expansion of Olympias, which will really lower our costs and improve our margins on Olympias.
Paul Ferneyhough: Yes. Mike, it's Paul. It's worth reflecting that at Efemcukuru and Olympias, the labor, direct labor costs are about 22% and 33%, respectively. We're working through our CBA arrangements still in Greece. We've concluded them in Turkiye. And across the board really we're seeing labor costs increased by about 2%.
Mike Parkin: Okay. Can you remind me again when we were over there in the fall at Olympias, I believe you were still sitting at like a bloated kind of workforce number. Is that sticking and some of those guys will transition to Skouries or is there potentially layoffs still on the horizon? Is that something you're delaying until negotiations with the union are complete? Just any kind of color you can provide on the latest on that situation?
George Burns: Yes. Mike, I would to begin with, when we shut down Mavres Petres-Stratoni, we weren't aggressive with workforce reductions and our focus was really getting improvements embedded in Olympias. Some of the workforce supported that transitioning Mavres Petres-Stratoni to care and maintenance. And then having a workforce capable to develop training programs to improve our productivities at Olympias, but then to support the ramp up of Skouries. So yes, I would say we're still overstaffed. I'll also say some of the objectives we have in collective bargaining this year will improve ship efficiencies, enable us to transfer some of the workforce into our training programs to get ready for Skouries commissioning next year. So yes, I mean, our costs are up a bit from where we expect them to be, partly just being sensitive that we need workforce and we're treating our people well with our strategy. But yes, I would expect to see Olympias costs drop down as we focus on moving people over to Skouries.
Mike Parkin: Okay. And on that same topic, we're hearing from a lot of miners that labor tightness in the Quebec, Abitibi and into Ontario is pretty tight. Any comments in terms of what you're experiencing at Lamaque?
George Burns: Well, definitely in the Val-d’Or area, there's expanding production, new mines coming on stream and that is definitely putting some pressure on all the operators in the region, including us. So far we haven't been impacted. We've been training new employees. We're located right next to the City of Val-d’Or, so we got that advantage. And so yes, we see the pressure. We're mitigating it to date, expect to continue to make a little more visibility. It's not just about people. I mean, sometimes you can attract people and our industry pays very well. There's also housing challenges that the local communities are working on. So everybody is doing the best they can to train and develop additional workforce, but those pressures are real and they're going to continue to be a challenge for all of us in the region.
Mike Parkin: Is there any discussion going on with the federal government? I don't think it's any surprise the numbers of new immigrants into Canada being pretty substantial as an overall percentage increase. Are you seeing any of that flow into your workforce in the region or are you finding they're more in the southern urban centers and therefore an opportunity to maybe work with government to establish an immigration support program to bring some skilled labor in for those much needed jobs more in the north?
George Burns: Well, I mean, we had two focuses. I mean one of ours are diversity, so we're trying to get more women into our industry and into our company, and we've been successful in that vein. And one of our initiatives was to bring in some young engineers and graduates out of Latin America that are looking for opportunities. And we've been successful at bringing a few into our Lamaque operation. In fact, we were visiting this week and met one of them was very energized about the opportunity to bring the mining engineering expertise into Canada, into our business. So there are opportunities that we're executing on. I would say regionally, the bigger challenge is, is really housing. That's what we're working on with the local communities in Quebec to try to support additional houses. So we can attract Canadians and/or immigrants into the region and put them through our training programs.
Mike Parkin: Okay. Thanks so much. That sounds good.
Operator: Our next question comes from Kerry Smith of Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. George or maybe Simon can answer this question. The tons to the pad this year at Kisladag, I'm just wondering if you can give any guidance on what that total number might be. Q1 was lower than I was expecting and certainly lower than Q4 or Q1 a year ago, and I'm just wondering what the total tons would be to the pad this year?
George Burns: Yes. I mean, well, Simon grabs that number. I'd say, Kerry, that we have come to the recognition that Q1 is going to be weak going forward and historically has been just winter months crushing and conveying material to the heaps a bit of a challenge. And this Q1, we actually had a tire change lined up for our high pressure grinding roll crusher. So some additional downtime to rebuild that. But we're expecting to see the production ramp up through the warmer weather, Q2 and through the summer and on track to deliver our guidance for the year. Simon, any additional color?
Simon Hille: Yes. Hi, Kerry. Yes. The range is 13.2 million to 13.7 million tons for the year. And it took – George is spot on that, it was a six day shutdown. So that had the probably the biggest impact on the total tons stacked for the first quarter. Moving forward, as we move into more summer conditions, we expect – we generally plan for higher stacking rates. So should see that start to normalize from what we did last year.
Kerry Smith: Okay. So you're still expecting to kind of be in that 13.5 million tons to the pads range this year then despite the slower Q1. Okay.
Simon Hille: That's correct.
Kerry Smith: That's helpful. Thank you. And the second question, maybe Louw can answer. Well, how big are these two stopes that you're planning to take these test stopes at Skouries once the ramp gets down there next year?
George Burns: The dimension of these stopes is 60 meters high, 15 meters wide and 30 meters deep. So what we are busy with at the moment is to – well, let me just share that our operations team for Skouries. We've appointed the GM, 80% of these Director reports is on site and its technical services team is complete. So they have the opportunity now to detailed study and benchmark in the industry and really seek and measure against best practices in the industry, how to extract those stopes.
Louw Smith: And those dimensions Kerry, we’re in the design in the feasibility study. We are looking for opportunities to make the stopes a bit wider. And that'll depend on the results from the geotechnical work in these first two test stopes.
Kerry Smith: Okay. But they'd be 60,000, 70,000 ton stopes each. So I guess I'm just thinking about the timing of when those stopes would be mined out and when they would actually be sampled just in terms of when we might get the results of what the grades were, et cetera and the mine ability of them. Will you even provide that data?
George Burns: Well, the tonnage per stope it's about 40,000 tons per stopes.
Louw Smith: Yes. And we plan to extract those stopes early in the New Year, early 2025, Kerry.
Kerry Smith: Okay. And are you planning to kind of provide that information to the market or it's just more confirmatory work for you guys? And if we don't hear anything, we just assume it's in line with what your assumptions were.
George Burns: With our quarterly guidance, we'll include those production numbers.
Kerry Smith: Okay. And I guess we see those results sometime mid-year next year, I guess?
George Burns: Correct.
Kerry Smith: Okay, great. And the last question I had was just for Paul on the depreciation in the quarter was low route, certainly relative to your guidance, which I think was 280 million to 290 million for the year. And your depreciation in Q1 was like 54.5 million. Just wondering if there was something weird that went on in the quarter and that's why the number was low or what we should be thinking about for depreciation per ounce for the rest of the year?
Paul Ferneyhough: Kerry, as I reflect on depreciation in the first quarter, vis-a-vis our full year guidance, there's a couple of things that jump out at me. First of all, we did have a one-off adjustment at Efemcukuru for about 4 million to 5 million, and I don't expect to see another one-off adjustment like that. Secondly, we are clearly backend weighted in line with our production volume, so we will see a move towards a higher quarterly charge as the unit volumes move up. And then finally, Kisladag, as we are seeing that stacking on the north leach pad, it's caused us to go back and say, look, there's a longer light there and therefore the unit rate is a little bit lower. So all-in-all, I'm expecting full-year to be very much at the bottom end of the range. And so as far as the quarterly charge is concerned, you just need to think about something that's going to add up to around 280.
Kerry Smith: Okay. That's helpful. Okay. That's fabulous. Thanks very much guys.
George Burns: Thanks, Kerry.
Operator: [Operator Instructions] Our next question comes from Delvin Xie of Scotiabank. Please go ahead.
Delvin Xie: Thank you, guys. Congratulations for the quarter. And a couple questions from me. In terms of inflationary pressure, do you feel, put this inflation in certain areas? Do you see easing of the inflation pressure? And then you mentioned labor for Lamaque, the fuel for Kisladag? Thank you.
George Burns: Well, I mean, I guess first I'd start with Skouries. I think the updated capital estimate embedded the inflationary impacts we expect, as we deliver this over the next year and a half. Beyond our focus on this quarter's impact, I wouldn't say we we're worried about any other inflationary pressures across the business. Diesel in Turkey, obviously our open pit at Kisladag is fairly reliant on truck haulage. And so diesel costs do impact us. And we've seen an upward trend in diesel costs hitting the industry. But the rest of our operations are underground, less reliant. And as Simon pointed out, we're beginning to pivot towards battery electric trucks, which will benefit us not only in the diesel cost reduction. But also the less particulates in the underground and positively impacting ventilation volumes.
Delvin Xie: Okay. [Indiscernible] like Forex, the main driver or…
George Burns: Sorry. I couldn't hear that very well. You were asking a question about Kisladag?
Delvin Xie: About Turkiye, the Q1 cost been better. So is it the Forex being the main driver or any you could spend out?
George Burns: Yes. So we've certainly seen a further weakening in the Turkish lira versus the U.S. dollar. And so that means that where we may have seen increases in labor costs, for example, that is broadly offset. We expect labor costs to be up slightly. But we still believe the Turkish lira will continue to devalue where modeling an average for the year of 33 to one for the U.S. dollar with it being high 30 at the beginning of the year and then devaluing to 35 at the end of the year. So that will obviously help offset any inflation in terms of its reporting in U.S. dollars.
Delvin Xie: Appreciate the color. Thank you. And also in terms of production profile for the remainder of the year, so there's a 45, 55, first half to second half still hold to and increase in Kisladag for Q2, Efemcukuru, Olympias to be second half weighted to say, the Lamaque to be even for the rest the year?
George Burns: Yes. So the 45, 55 still holds true first half to second half. And as we spoke earlier, we expect Q2 to be a bit stronger than Q1, largely driven by Kisladag throughput and kinetics and then partially impacted by underground ore grade. It's just changes in the stopes that will be mining. But I think the key 45, 55 still holds true for the year.
Delvin Xie: Okay. I think you are saying Kisladag, Efemcukuru and Olympias to be second half weighted or about.
George Burns: That's correct.
Delvin Xie: Okay. That’s it. Really appreciate. Thank you so much.
George Burns: Thank you.
Operator: That is all the time we have for today and this includes the question-and-answer session as well as today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.